Operator: Good afternoon. And welcome to YRC Worldwide’s Third Quarter 2020 Earnings Call. All participants will be in listen-only mode. After today’s presentation, there will be a question-and-answer session. Please note, this event is being recorded. I would now like to turn the conference over to Tony Carreño, Vice President of Investor Relations. Please go ahead.
Tony Carreño: Thank you, Operator, and good afternoon, everyone. Welcome to YRC Worldwide’s third quarter 2020 earnings conference call. Joining us on the call today are Darren Hawkins, Chief Executive Officer; Dan Olivier, Interim Chief Financial Officer; and TJ O'Connor, Chief Operating Officer. During this call, we may make some forward-looking statements within the meaning of federal securities law. These forward-looking statements and all other statements that might be made on this call, which are not historical facts, are subject to uncertainty and a number of risks. And therefore, actual results may differ materially. The format of this call does not allow us to fully discuss all of these risk factors. For a full discussion of these risk factors that could cause the results to differ, please refer to this afternoon’s earnings release and our most recent SEC filings, including our Forms 10-K and 10-Q. These items are also available on our website at yrcw.com. Additionally, please see today’s release for a reconciliation of net income to adjusted EBITDA. In conjunction with today’s earnings release, we issued a presentation which may be referenced during the call. The presentation was filed in an 8-K, along with the earnings release and is available on our website. I’ll now turn the call over to Darren.
Darren Hawkins: Thank you, Tony, and great to have you back. Good afternoon, everyone. And thanks for joining our third quarter 2020 earnings conference call. Before I get into the details of the Q3 results, I would like to talk about the future for a moment. The YRC Worldwide name was chosen over a decade ago when the strategy of the company involved global pursues. Over the last several years we have been and we plan to continue focusing our efforts on our strength of being a well-positioned North American carrier. We have never moved shipments under the YRCW name as it functions for the holding company only. Through an in depth, perception and awareness marketing study, we analyze trademarks that we own for recognition, brand approval and perception. One man continued to outperform through the study, and therefore in 2021, our holding company will be moving forward under the brand Yellow. We anticipate continuing under operating brands of Holland, New Penn and Reddaway, YRC Freight and Henry Logistics as we execute our enterprise transformation that will result in a consolidated operating system for all companies along with a seamless super regional network that will cover all the geography we currently serve. I would also like to announce two new additions to our Board Of Directors, former New Mexico Governor, Susana Martinez; and Ms. Shaunna D. Jones. Governor Martinez is the first female Hispanic Governor in United States history and the first female Governor of New Mexico. After her legal career as a successful prosecutor, she was first elected governor in 2010 and was reelected in 2014 in a landslide victory. Shaunna D. Jones currently serves as U.S. Director of Diversity and Inclusion at Cleary, Gottlieb, Steen and Hamilton LLP. Ms. Jones has extensive experience in advising corporate leaders on matters related to diversity, as well as transformation and strategic initiatives. As we move forward with our work to operate as one company, Governor Martinez and Ms. Jones his background will assist us in assuring that our transition is inclusive and enhances our ability to grow, while building our workforce with leaders that bring to us new perspectives and experiences. Along with our Board member additions, it is a pleasure for me to announce a new member of our leadership team, Darrel Harris, who most recently served as Chief Executive Officer of Express Global Systems for the past four years. He is a 25-year industry veteran with extensive LTL experience. Darrel will serve in the newly created position of Executive Vice President, Strategic Initiatives, reporting directly to me and will join my enterprise leadership team steering committee. I have known him for a number of years and closely followed his career as he continuously built a solid track record of success as an industry leader. Darrel has joined the YRC team at an opportune time where his experience, talents and leadership will contribute to our enterprise super regional network transformation, customer service enhancements and our work to build the best team of LTL freight professionals in North America. A few weeks ago, we filled our open General Counsel position, Leah Dawson, who previously served as Assistant General Counsel for YRCW since 2012, has been named Executive Vice President and General Counsel. For the past seven years I have worked with Leah on legal strategy, corporate governance, securities and finance issues. While Leah has been an integral part of many pivotal company transactions, most recently, she was instrumental in helping the company obtain CARES Act funding, working closely with me, our finance team and the Board. I look forward to working with Leah as our General Counsel and as a member of the Executive Steering Committee. As you may have seen in today’s earnings release, we announced that Jamie Pierson has resigned from the company and the Board. Jamie is a passionate and longtime champion of YRCW and he has been instrumental in several financial transactions that help protect an essential part of the American supply chain and the livelihoods of 30,000 families and 2020 was no different. Jamie was instrumental in the CARES Act loan process and securing the other amendments to our credit facilities. The CARES Act loan has been an incredible success for our company, customers and employees, but it does come with limitations tied to 2019 compensation that impacts certain of our key employees. And those limitations could remain in place for several years to come. Even though Jamie started with the company in mid-December 2019, the calculation of his compensation limitation resulted in a maximum annual compensation structure that was not consistent with the compensation expectations for Jamie by him or the company. We thank Jamie for his tireless work on behalf of YRCW and we wish him the very best. As a result of this change effective immediately, Dan Olivier has been appointed as Interim CFO. Dan has 22 years with the company, including 12 years as the Vice President of Finance at Holland. Our second largest brand and most recently as YRC Worldwide’s Vice President of Financial Planning and Analysis. His knowledge of the company and the business will provide for a smooth transition during this interim period. Also effective immediately James Faught has been appointed Chief Accounting Officer. James has been with the company since 2017 in financial leadership roles, most currently as Comptroller. He has over 15 years of accounting experience, including time span with Deloitte. Turning to Q3. During the quarter we transition to managing our business and a tighter capacity environment and setting the stage for 2021. Improving tonnage late in Q3 and growth in early Q4 has allowed LTL pricing to firm up with less volatility expected moving forward. We began the quarter by securing financing with the U.S. Treasury. We drew $245 million from Tranche A in July and recently the first $75 million from Tranche B. Tranche B is to be used to invest back into our fleet and this is significant due to the impact it will have on reducing maintenance expanse, improving safety features and achieving better fuel economy in addition to driver satisfaction. As we progress through the third quarter, we saw tonnage improve on the backhand that has allowed pricing to stabilize. For the month of October, YRCW companies averaged around plus or minus 4% on contract negotiations. As we move forward, we will be focused on onboarding new rolling stock, executing on our enterprise transformation and the recruiting training of additional YRC drivers at all companies. We also plan to drive the business forward through significant investments in technology, box trucks, containers and liftgates. I will now turn the call over to, Dan, who will share additional details about the quarter.
Dan Olivier: Thank you, Darren. Good afternoon, everyone. Let me first say that I’m excited to be here and I look forward to working with all of you. For the third quarter of 2020, operating revenue was $1.183 billion, compared to $1.257 billion in 2019. Operating income for the third quarter was $19.4 million, compared to $23.8 million in the prior year, which included a $1 million net loss on property disposals. Adjusted EBITDA for third quarter was $62 million, compared to $65.9 million in the third quarter 2019. As of the end of the third quarter, LTM adjusted EBITDA was $179.8 million, compared to $240.8 million at the end of the third quarter 2019. As discussed during the second quarter earnings call, we do not have minimum LTM adjusted EBITDA covenants until the fourth quarter of 2021, at which point it is $100 million. It steps up to $150 million in the first quarter of 2022 and $200 million in the second quarter of 2022 and thereafter. Our consolidated revenue results for the third quarter reflect a 4.1% decrease in LTL tonnage per day, partially offset by a 2.2% increase in LTL weight per shipment. Including fuel surcharge LTL revenue per 100 weight decreased 4% and LTL revenue per shipment decreased 1.9%. Excluding fuel surcharge, LTL revenue per 100 was down 1.4% and LTL revenue per shipment was up 0.8%. Sequential LTL tonnage per day trends during the quarter were as follows and these are compared to the prior year. July down 4.3%, August down 6.4% and September down 1.9%, preliminarily October LTL tonnage per day was up between 1% and 2%. Total liquidity at the end of the third quarter was $454 million, compared to $303 million at the end of the second quarter. Capital expenditures for the quarter were $17.3 million. As Darren stated, now that we are managing the business in a tighter capacity environment, we fully expect to increase our level of reinvestment back into the business, specifically on equipment and technology. Now for a brief update on the $700 million of U.S. Treasury loans related to the $300 million Tranche A loan during the third quarter $245 million withdrawn, $241 million of which was used to pay deferred health, welfare and pension obligations and other deferrals, and also for working capital. Related to the $400 million Tranche B loan, the first $75 million was requested and funded during October and will be used for the acquisition of tractors and trailers during the fourth quarter. None of this $75 million was included in liquidity at the end of the quarter. With that, I will turn the call over to TJ.
TJ O'Connor: Thank you, Dan, and good afternoon, everyone. When I think about the future of our company, I’m excited about a refreshed fleet of tractors and trailers. This, coupled with a comprehensive driver training and development process will put us in a great position to meet the needs of our customers and protect capacity in all geographies. For the increase in volume seen during the quarter, we continue to bring back and hire more drivers, as well as enhance our driving school expertise. Currently, there are not enough qualified drivers in the market to meet our needs. Consequently, we are increasing our driver academy capabilities, as well as our mobile or pop-up schools to tap into the driver base who are not CDL qualified already. We also see great potential in our box truck drivers who are part of the YRCW team, but not yet qualified for -- with a CDL. We continue to innovate and adapt to protect capacity and take great care of our customers. As you heard from Darren, in addition to the tractors and trailers coming online through our Tranche B investments, we are also investing CapEx dollars into information technology and equipment to improve operating performance and efficiencies. Our network optimization plans continue to make progress, while impacted by COVID-19 issues, we are continuing with our transformation plans. In early December, we will be implementing our already approved intermodal change of operations in Memphis, Tennessee. This change will allow the movement of shipments loaded on intermodal containers on the rail to and from our Western U.S. operations. This is a key change that will provide increased capacity while improving efficiencies. Lastly, I’d like to comment on our safety performance. We have sustained double-digit frequency improvement in both Y Hall [ph] and City Accident performance that began in Q1 of this year. Our injury frequency performance has also improved nicely year-over-year. My thanks to our dedicated safety minded professionals throughout our organization. I will now turn the call back over to Darren for some closing comments. Darren Hawkins Thank you, TJ. As we close, I want to say that I’m excited about where the company stands today and its future, with growing volume and proving pricing investments in equipment and technology, and strong leaders joining our management team and Board, I remain confident that we are well-positioned for 2021 and beyond. I want to thank our 30,000 freight professionals from coast to coast in North America, who work every day to serve our customers safely. Their essential work and the support of their families gives reassurance to all Americans that as long as this pandemic persist, the communities we live and serve will continue to have the goods they need. Thanks for your time this afternoon. We would now be happy to answer any questions that you may have.
Operator: [Operator Instructions] And our first question comes from Scott Group of Wolfe Research. Please go ahead.
Scott Group: Hey. Thanks. Afternoon, guys.
Darren Hawkins: Hi, Scott.
Scott Group: Thanks for the monthly tonnage trends. Can you just talk about the progression of yield throughout the quarter and so far in October?
Darren Hawkins: Well, based on my comments in the script, our contract negotiations were at plus or minus 4%. So we saw that improvement during the quarter from the previous quarter and that continues on through October.
Scott Group: And does that showing up in reported yield trends as well?
Darren Hawkins: Yeah. With the volatility in weight per shipment and naturally it doesn’t all go into revenue per hundred weight, but definitely with the offset of weight per shipment, we’re encouraged in the progress and our pricing efforts.
Scott Group: Okay. Darren, any thoughts on how to think about either margins or EBITDA sequentially in fourth quarter out the third, I know it typically gets worse, but maybe it can get better this time around just -- as things are improving, any thoughts there?
Darren Hawkins: Yeah. Thank you for the question, Scott. And I won’t put any guidance around it. I will say that just like everybody in the industry, and certainly, in your role, Scott, we’re looking at those leading indicators. And the consumer is standing up good, trucking capacity is very tight, housing, construction and demand is strong, imports are at record levels and what we’re seeing on the West Coast, I haven’t seen in my entire career as far as the demand environment. And then you put e-commerce on top of that and the expansion we’re seeing and an increased exposure in those areas. I think we’re in for several quarters a very strong demand, which typically allows us to make progress on pricing, manage our efficiencies well and have a positive outlook. So from my seat I like where we’re sitting. And then you put the ISM report I saw come out this morning on top of that and there wasn’t a single negative thing for trucking in that report.
Scott Group: Okay. And then my just last question, the $75 million for tractors and trailers, how much of that is going to new versus used equipment? And then how quickly do you think you use the remaining $325 on that Tranche B and any thoughts on how much of that goes new versus used?
Darren Hawkins: Yeah. Great question. And Dan, take it away.
Dan Olivier: Yeah. Thanks for the questions, Scott. A majority of that $75 million is going to be going to new rolling stock, ballpark we’re looking at about 300 new tractors in the fourth quarter, 950 or so new trailer. We do have as part of that about 200 trailers -- use trailers that is. That’s really the bulk of the $75 million. As far as the $325 million, our incentives requested, but the remaining $325 work throughout 2021. And as Derek mentioned in his comments, investment in a fleet will provide significant benefits, so it makes sense to make that investment sooner as opposed to later.
Scott Group: Okay. Thank you, guys.
Darren Hawkins: Hey. Thanks, Scott.
Operator: Our next question will come from David Ross of Stifel. Please go ahead.
David Ross: Yeah. Good afternoon, gentlemen.
Darren Hawkins: Hello, David.
David Ross: Darren, as you continue to move towards one network operation, what’s the facility count look like now and because tonnage is growing again in October, is there any further rationalization or is that kind of a good baseline to use over the next year?
Darren Hawkins: Yeah. That is a great topic, David, with the demand environment we’re seeing and I’m going to let TJ comment on a few. I will tell you, we’re right now at 333 facilities, earlier this year before full blown pandemic mode, I thought we would get down to 325 by the end of the year. But as TJ mentioned in his script, we’re not giving up any geography and we’re certainly not giving up any capacity right now. So although there’s a lot of opportunity for efficiencies through our network optimization and enterprise transformation, we’re making the technology investments to move over to one system. But I’ll let TJ give you the update on the overall network optimization, which is still a very important part of our plan. But with the demand environment we’re seeing -- we’ll be moving forward with caution. Go ahead, TJ.
TJ O'Connor: Thanks, Darren. Good question, David. Certainly, as I mentioned in the script, the Memphis intermodal change of operations is a really big change for us and has lots of benefits, as well as adding capacity to from the west also some efficiencies included there. So that’s probably the biggest one, we’ll see the balance of this year, although, there are others. We set at 333. The ability to get some more done, perhaps, by the end of the year is definitely a possibility. But right now, we are favoring, protecting capacity, making sure that the information transformation strategy stays intact and that the IT work associated with that is also moving along in tandem with the operational changes. So, yeah, you may see it drop a little bit be it below 333. I think we’ve provided a guideline or a target earlier this year of maybe 325 by year end. So we’ll probably -- we probably won’t hit 325, but there’ll be somewhere between there in the 333 we have now.
David Ross: And then on the purchase transportation side, shipments were down, but that number was up even with lower fuel. Can you break out how much of that is rail PT? How much of that is line-haul, truck PT and how much might be pickup and delivery PT? And where do you see that going forward in terms of getting some of that back in mind with historical norms?
Darren Hawkins: David, I will let, Dan, get broken, right and take that multi-tiered question. So, Dan, take it away. 
Dan Olivier: Thanks, Darren. Appreciate it and thanks, David. Good question. I don’t have this specific breakdown of all the components. But what I will say is, our PT costs for the third quarter increased roughly $16 million or about 10% year-over-year to your point, a little more than half of that increase actually was related to the 35% year-over-year revenue growth at Henry Logistics and the rest of the increase was more or less driven by the impact of the driver shortages that TJ referred to in his comments. So let him give you some color around that.
TJ O'Connor: Sure. On the PT, so on the over the road purchase trends. That definitely increased year-over-year. And keep in mind, David, we’ve got the 29% cap now under the contract and we can use that any way we choose as opposed to the last contract we had, we had a cap of 26%, of which 20% could move on the rail, 6% over the road. So we have -- the good news is the, there’s a lot of cost efficiencies with the use of the rail and where we don’t have sufficient driver capacity using over the road purchase transit is a good thing. The area that is expensive for us but it’s good to have is a local purchase trans or cartridge expense where -- if we don’t have sufficient pickup and delivery drivers we are able to use partners that can help us with a pickup and delivery. It’s a little more expensive. We would prefer to do it with our own folks, but it’s very good to supplement capacity where needed.
David Ross: Yeah. That was a problem for you guys a couple years ago on the local cartridge cost you were trying to get down, is that crept back up, is that something that you think can be resolved through…
TJ O'Connor: Yeah. Specific…
David Ross: … more doc of drivers?
TJ O'Connor: There was specific markets, West Coast and both California, perhaps, where we have been constrained more so than other parts of the market. We’ve gotten in the new contract also the box truck language. So we’ve got approximately 400 non-CDL box truck operators that were designed specifically to help develop CDL drivers over time, but also to reduce the local purchase trans expense associated with cartridge. So I view that as a temporary. We did a heck of a job last year after we got the contract negotiated, but really reducing that expense on the cartridge side and I expect this get back to that run rate here shortly.
Darren Hawkins: Yeah. And when I prioritize that working capital and the strength of our working capital number right now, Dave, I think technology, intermodal containers, box trucks. That’s -- that -- that is where we’re putting that working capital to work.
David Ross: Excellent. Thank you very much.
Darren Hawkins: Thank you, David.
TJ O'Connor: Sure.
Operator: [Operator Instructions] And our next question comes from Jeff Kaufman of Loop Capital. Please go ahead.
Jeff Kaufman: Thank you very much. Congratulations, everybody.
Darren Hawkins: Hi, Jeff.
Jeff Kaufman: A couple detail questions for Dan for modeling and then kind of a bigger picture question. So, Dan, I saw the share count was about 48.7 million on the quarter. Where should we be thinking about the share count for say, 2021, because I’m assuming not all the shares were in that 48.7 million number or were they the new shares?
Dan Olivier: Yeah. Jeff, we would expect that the share count through 2021 stays relatively the same as what it is at the end of the third quarter.
Jeff Kaufman: Okay. So 48.7 is the right number?
Dan Olivier: Yeah. Ballpark. Yes.
Jeff Kaufman: Okay. And you mentioned that about $325 million planned CapEx next year based on Tranche B. What are the spending will be in that number and what are we probably looking at on an all in CapEx basis 2021?
Dan Olivier: Well, we don’t give specific guidance about our total CapEx. The $325 million will be primarily for rolling stock, tractors and trailers. There are some other CapEx we’ll have on top of that, like, Darren mentioned, I think, TJ mentioned, on containers, box trucks, liftgate and technology. Those are the primary components of anything over and above Tranche B.
Darren Hawkins: Yeah. And we’re just not prepared to give any concrete guidance on that at this time, Jeff.
Jeff Kaufman: Okay. I am going to switch gears to Henry. You mentioned a terrific 35% growth rate year-on-year. How big is Henry today and do we think about breaking that out in 2021?
Darren Hawkins: No. I’m not thinking about breaking it out in 2021. We continue to put resources there and I’m very pleased with the growth trajectory of Henry Logistics. We haven’t given any recent guidance on Henry. Certainly, the COVID-19 situation changed a lot of those things dramatically. But as you’ve seen in other reporting, from a logistic standpoint, the truckload sector and the residential sector is just seeing really tremendous demand at Henry Logistics. So it’s good timing. I’m pleased with their growth and I’m looking forward to reporting at on it. And once it becomes impactful to the overall business, I’ll start giving you all the detail on that. But from a customer perspective, I think, it’s been an excellent fit. Our consolidated sales force has a nice expertise and bring it to the marketplace, and along with many other businesses, working remotely has performed very well for Henry Logistics and they haven’t missed a step.
Jeff Kaufman: Okay. One final question. Thank you, Darren. Dan, we’re consolidating the brands in-house, we’re rebranding Yellow. I’m assuming we’re staying with Swamp Holly Orange. But is there any kind of housecleaning that might occur in 4Q as we take a look at the IP and other brand names that the company has developed over time? I assume if we take an adjustment, we’ll see it, but I just wonder for modeling purposes how should we be thinking about that goodwill and any IP on the balance sheet?
Darren Hawkins: Jeff, we are -- Jeff is Darren. We hold several trademarks, as you know and keep many of them active just for this specific purpose. And we’re certainly proud to bring Yellow to the holding company with the approval ratings and other pieces that that particular brand had from the marketing studies that we did. But at this time, we don’t anticipate changes in other areas that would result in any of those directions. But if we do, then certainly, we will do the proper notifications on that. But right now, we don’t anticipate changes to other brands that would have any adverse impact.
Jeff Kaufman: Okay. Great. Well, congratulations and thank you.
Darren Hawkins: Thank you, Jeff.
TJ O'Connor: Thanks, Jeff.
Operator: Our next question comes from David Ross of Stifel. Please go ahead.
David Ross: Hey. Just a follow up quickly on Henry Logistics there, on the EBIT line, was it a drag or a benefit for the overall company in the quarter?
Darren Hawkins: David, it was flat.
David Ross: Okay. And then clarification question on the contract renewal increases, you said, October was a plus or minus 4% on rate discussions? Did you say that that was the average for the third quarter as well or is that a step up from some lower number in 3Q?
Darren Hawkins: It was a step up of a full percentage point from Q2. But for 3Q the 4% was consistent. And based on the leading indicators that I mentioned, we would anticipate continuing to see positive momentum in those contract negotiations. And we’ve had some really big ones come through recently that we saw good momentum and so I’m encouraged by what we’re seeing happening in that area, Dave?
David Ross: Excellent. Thank you.
Darren Hawkins: Thank you.
Operator: Our next question is a follow-up from Jeff Kaufman of Loop Capital Markets. Please go ahead.
Jeff Kaufman: Sorry, guys. I didn’t expect to get back in that quick.
Darren Hawkins: Okay.
Jeff Kaufman: Darren, one last question, bigger picture, I don’t know if you’re going to want to answer this. But I’ll ask anyway. When we got the labor contract news, there was a presentation that you had where you said, I think, we can get to a 96 OR [ph] within say, two years, three years time, this is based on our projections of X and how we can change network. Now, obviously, COVID changed a lot of things and the Tranche A and B loan have changed a lot of things. And I guess what I’d ask is, is 96 still the multiyear target, as we think about Yellow in its entirety and have the changes that have occurred, if I sum them all up, made you more bullish or more cautious about getting there over two-year, three-year timeframe?
Darren Hawkins: Jeff, first of all, I appreciate your persistence in this area and thank you for letting me address it. When I think about our company, right now, I think, about the operational…
Jeff Kaufman: Yeah.
Darren Hawkins: … execution runway that we’ve got. And we don’t have any major debt maturities, any big labor negotiations prior to 2024. So we’ve got that three-year runway right in front of us, where we’ve got some really neat things happening. The equipment refresh that we’re going through right now and that we’re going to see in the coming year is just a great opportunity for this company. What equipment means, all the benefits we get out of it and the financial benefits that it brings, not to even mention the driver satisfaction, uptime and all the other things. But bottomline, that’s going to be a nice contribution to our profitability moving forward. Enterprise transformation, just getting these companies on one operating system and having that visibility across all of the networks is going to be tremendous, not only for our internal operations, but for our customers as well. And then when I think about the overall network optimization, where we’ve got duplicate resources in so many areas and drivers and such had demand, and that’s not changing anytime soon, with the demographics that are out there around the CDL qualified driver in the United States, retirements are at record levels because of COVID and concerns moving forward in that area. So I think the demand is going to be strong. I think TJ has positioned greatly to get the drivers that we need and so does the contract that we got in place. So when I roll all that up together, that’s where when I closed out the script and I talked about my confidence in this organization moving forward. And then, lastly, Jeff, I’ll say and you’ll be disappointed here, with all that confidence, the volatility that’s out there in a number of areas and also if we took the cautious approach about a second wave and other things that from a working capital standpoint, we’re well-positioned to weather those storms. But I’m not prepared to give any additional guidance at this time other than with all the things I’ve listed. I have a lot of confidence in our employees and what can be accomplished in the coming quarter.
Jeff Kaufman: Well, that was a fantastic answer and I will keep asking you that question. But thank you very much.
Darren Hawkins: Jeff thanks for your interest. I really appreciate you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Darren Hawkins for any closing remarks.
Darren Hawkins: Thank you, Operator, and for all those that participated and listened in. I just appreciate your interest in our company and on behalf of our employees, thank you for joining today so long. We’ll see you later.
Operator: The conference is now concluded. Thank you for attending today’s presentation and you may now disconnect.